Operator: Greetings, and welcome to the Primoris Reports Fourth Quarter and Full Year Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kate Tholking. Thank you. Ms. Tholking, you may now begin.
Kate Tholking: Thank you, Rob. Good morning, everyone. Thank you for joining us today. Our speakers today will be Brian Pratt, the Chairman, President and Chief Executive Officer of Primoris Services Corporation; and Peter Moerbeek, our Executive Vice President and Chief Financial Officer. Before we start, I'd like to remind everyone that statements made during today's call may contain certain forward-looking statements, including with regard to the company's future performance, words such as, estimated, believes, expects, projects, may and future or similar expressions are intended to identify forward-looking statements. Forward-looking statements inherently involve risks and uncertainties including, without limitation, those discussed during this call and those detailed in the Risk Factor section and other portions of our annual report on Form 10-K for the period ended December 31, 2012, which we expect to file today, and other filings with the Securities and Exchange Commission. Primoris does not undertake any obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as may be required under applicable securities laws. I'd now like to turn the call over to Brian Pratt.
Brian Pratt: Thanks, Kate, and good morning, everyone. I hope you're all pleased with the last quarter and the year we had in 2012. Our fourth quarter revenue reached a record $481 million. This is a 29% increase over 2011's fourth quarter and drove us to a full year record revenue in excess of $1.5 billion. We saw substantial improvement in all our core markets, evidenced by top line growth in all. Our projects spanned in the United States, our balanced mix of new awards continues to reinforce the fact that we can profitably compete in almost any market throughout the country. Our new backlog number, as traditionally calculated, of just a tad under $1.35 billion is also indicative of our effectiveness in improving markets. Most of our work is weather-sensitive and seasonal, therefore it tends to taper off in the fourth quarter, making our 2012 fourth quarter results even more impressive. Those factors impact our revenue for the first quarter as well. Those factors impact our revenue for the first quarter as well. I repeated that intentionally, guys. We grew our earnings by 22% for the fourth quarter of 2011, while maintaining a strong balance sheet. Our balanced -- our cash balance rebounded to $158 million. We raised $50 million in senior secured notes with the ability to go back for an additional $25 million. We also increased our revolving credit facility by $40 million to $75 million. As we continue to grow our underlying businesses, let me remind you that our balance sheet remains very important to us, and we will not lose our focus on protecting it as we begin to trade the stresses of more lethargic markets for the stresses encountered in accelerating markets. Looking at our operational segments for both the quarter and into fiscal year 2013. Let me start with the West Construction Services segment. Revenue in the West grew by 13%, mainly driven by underground pipeline work. Looking at Frank Welch's Rockford, we continue to work deep into the fourth quarter. Their bidding season started very early due to the anticipated surge in the projects the industry begins its early stages of another long-term buildout boom. Rockford's ATEX win, announced in early December is emblematic of this increasing demand. Our guys broke ground on the project in February. It's a cold month to be working in Ohio. Rockford is also currently working for Talisman and Williams in the Marcellus Shale states. Frank's backlog has seen serious improvement in the last several months. It's good to see them continue to enjoy a rebound of work post the winding up of their project that shall remain nameless. Rockford's bid activity continues to be as brisk as I've seen in quite a while. Even though we didn't close the Q3C acquisition until almost December, Jay Osborn's guys contributed to the quarter results in a significant manner. We're glad to have them join us, and we're seeing very good results already through combining our resources and efforts to win and execute work. We look for the Q3C to continue its aggressive and profitable growth pattern for the foreseeable future. This strategy has resulted in expanding our market for new work and operating bases in the Missouri, Nebraska and Kansas in just the last several months. Our ARB underground group continues to benefit from integrity spending on top of normal and new replacement outlays by PG&E and other California pipeline system owners. Scott's West Coast work remained strong for the quarter as it has consistently done for decades. Around year end, Scott's ARB group was asked to be one of PG&E's alliance contractors for the integrity work for the next several years. This is an acknowledgment of our strength and effectiveness in this market. This alliance, along with traditional basket of work available to us in the West, should more than accommodate our desires for this group in 2013. The West Coast industrial business wrapped up work on 2 other projects, including the first installation of the Siemens Flex start turbine, that's the first installation in the U.S. This technology, combined with various governmental mandates related to once-through cooling, a need for smoothing the intermittency of renewable generation, renewable generation construction are all forces driving the California power generation market, and you'll see that for the next couple of years. Tim Healy's group is still working to finish the second Flex start installation in Los Angeles, pieces of the large solar thermal solar plant and several other smaller but significant projects. They are diligently in hot pursuit of additional renewable work, several more conventional power plants to measure compression work, multiple LNG projects, some in joint effort with OnQuest, several industrial gas opportunities outside their traditional geography of operation and the usual crowd of cats and dogs for our traditional client base. I don't have much doubt that his group will continue its string of contributions for this year. The Engineering segment saw a revenue decline of 9% but a gross profit increase to $3.5 million as we wound up and began closeout of the waste heat recovery units we provided for Chevron at the Australian Gorgon LNG facility. Backlog for this segment declined to $14.7 million as big projects, such as the Chevron Gorgon contract worked off. We're more than pleased with our prospects for this segment, as for the first time in more than half a decade, we're seeing serious funding and project permit approvals in traditional downstream energy facilities that had gone dormant. OnQuest is now participating and bidding jointly with their Primoris sister companies and providing ammonia and methanol facilities for the Gulf Coast, as well as LNG renewable-type projects, and we believe our ability to provide these facilities on a turnkey basis is favored by many in our client base. As backlog for this group is down at year end, we're expecting a serious rebound in that number in the first and second quarter, as some of these larger LNG and other turnkey projects will begin to come to contract. As Primoris' renewables continues to wait for permits -- the permitting outcome on the MSW to energy projects in Puerto Rico, they've been busy. Steve Lewis' group has been aggressively working in alliance with a private developer to build projects to alleviate localities suffering from the drought water shortage in West Texas. We feel very confident we will execute our first construction contract in this basket of projects over the next several weeks. We're very excited about the opportunity to assist this part of the country in their needs and establish a significant new midterm revenue stream for our company in the process. In the East, James Construction Group had a great quarter, increasing revenue by 21% to $143 million, the best quarter in the company's 90-year history. The $241 million Belton award announced in the fourth quarter was our fifth and largest award on I-35 to date. This 4-year project will break ground in the second quarter of this year and is scheduled for completion in mid-2017. Danny Hester and his group several years back anticipated and planned for a slower Louisiana market in 2013 and '14. They are to be commended for looking ahead outside the state and delivering a strong performance in the Texas market and the recent entry into the Mississippi market. James infrastructure and mechanical and industrial businesses continue to benefit from increase in petrochemical and fertilizer facility work driven by low natural gas prices in the Gulf area. Jonas Beatty's group will often join efforts with other groups like James industrial and more recently, Saxon to best approach the opportunities on the front end of larger greenfield and brownfield projects that are beginning to soak our markets. James industrial group's market continues to improve both in Louisiana and Texas. This is a market we experienced a low in at the end of '11 and have seen steady improvements since. Over the next several years, Conrad's group should experience an incredible increase in demand for our services, as the refining and chemical businesses along the Gulf are absolutely headed towards full throttle. Bill McDevitt's Cardinal Contractors has turned the corner with a fourth quarter revenue increase of 18% and over $31 million of new awards. The larger dollars in these new awards are in our own backyard in Dallas. Beyond their traditional markets of the reef and rig [ph] public arena, they are working diligently with Primoris renewables on the water treatment challenges that will be at the root of many of the solutions for the drought streak in West Texas. One of the biggest contributors to the East segment was Primoris Energy Services, which is our subsidiary that holds Sprint, acquired in March; and Saxon, acquired in October. Saxon contributed quarterly revenue of $8 million, thanks to industrial projects in geographies as diverse as Ohio, Oklahoma and Mississippi. As they begin to utilize the stronger resources that Primoris provides with their traditional clients and markets, I haven't any doubt that Jenny's group will deliver the desired results. Her team is meshed well with the others, and we are already seeing the benefits of synergies. Sprint contributed a very significant $44 million in revenue for Q4 as -- in both the Eagle Ford and the Houston area work continue to be robust. Robert Grimes' work is melding well with the organization, and I personally very much enjoy working with him. I look for Sprint to be a very positive factor in our results in 2013. The East backlog increased to $970 million at year end. And I'd like to take note that 2 years ago, the total company backlog was $896 million. As I went through the segments I gave flavor to various acquisitions from 2012 and their contributions for the year, we worked hard last year and I think we added great new pieces to our organization. All 4 deals were internally sourced and we paid fair prices for them. The integration process is proceeding smoothly. To answer one question before it's asked, yes, we are continuing to look at various opportunities to acquire good companies in our industry. That's our nature and I think it's one of our strengths in growing that way. But if the opportunity does not present itself to grow acquisitively this year, we will see very, very strong growth organically, well in excess of what we need to satisfy our plan. This year, we see fantastic opportunity for organic growth, and our focus is choosing the right job for the right client and busting our rears to achieve flawless execution. In sum, 2012, good. 2013, better. Now I'd like to take a moment to thank all of you listening to the call. Many of you have come to Dallas to meet with Pete and me or given us your time as we travel around to meet investors. We appreciate the interest you've shown in Primoris, and it seems to us that Wall Street is beginning to take note of the consistent, steady growth and profitability we strive to achieve. So I'd like to thank you, all again for taking notice of what thousands of stakeholder employees work so hard to deliver. And more so, I'd like to thank them for breaking their backs to give us this. Now we leave the propaganda stage of the presentation and enter the factual by Pete Moerbeek. Pete?
Peter J. Moerbeek: Thank you, Brian, and thank all of you for joining us today. As Kate mentioned, we plan to file our Form 10-K today. So I want to take just a few minutes to highlight -- very few minutes to highlight several areas. We ended the year on a strong note with net income of $17 million or $0.33 per share, our best fourth quarter ever. For the quarter, our revenues were $481 million, an increase of $108 million from last year's fourth quarter. Of that increase, about 40% was from organic growth and 60% from acquisition. Our largest customer, a Northern California utility, represented almost $81 million, which was an increase of about $10 million over their 2011 fourth quarter revenue contribution. For 2012, our revenues from the utility were $225 million, surpassing last year's $165 million. While we don't expect the revenue growth from this utility to continue at such a frantic pace, we do expect that we will continue to see revenues at elevated level for some time as the utility implements its extensive integrity plan. For the quarter, Louisiana Department of Transportation was our second largest customer at $36 million in revenues. Since the LADOT budget is likely to remain soft in 2013, we are seeing the transition of our heavy civil highway work to the Belton, Texas area. In the quarter, TxDOT revenues were $28 million. As we have said over the past few quarters, the Texas work will have low gross margins during the start-up phase. But as we progress, we expect the margins to return to more historical levels. Our end market distribution for the year was approximately 42% of underground work, about 25% of industrial work and our heavy civil work was about 21% of revenues while Engineering was 3%. The other category was about 10% of our revenue and includes parking structures, water and wastewater and materials sales. We remain a very seasonal company. In 2012, excluding the impact of the acquisitions, we achieved 20% of our revenues in the first quarter of the year, 23% in the second quarter of the year, with the last 2 quarters accounting for 57%. We expect that our business will remain seasonal in 2013. I'm not going to try to answer everyone's detailed questions about why a specific project or a specific company gross margin change this quarter compared to last quarter last year or even the last 2 weeks. As a construction company, using cost and cost percentage of completion, we do have margin fluctuations as we estimate our anticipated costs to complete a project. Excluding the acquisition of Q3 Contracting, we worked on over 4,000 different projects this year, which means a mix of projects, a mix of customers and a mix of overall job progress, all of which impact our gross margins. In 2011, our gross margin decreased from 13.9% to 13.7% from the third to the fourth quarter. But last year, we benefited from positive margin contribution, especially from the wind up of the Ruby project and a large DOT project. This year, we had a decrease but we benefited from neither. And the Belton start-up cost lowered our overall margin. The increase in SG&A for the quarter from $25.8 million to $26.7 million was largely due to the addition of $4.5 million from the acquisitions, offset somewhat by a $3.5 million settlement related to the Rockford acquisition. The favorable tax treatment of this settlement reduced our fourth quarter effective tax rate, and we anticipate a much more normal tax rate of approximately 38.5% going forward. In November, we closed on the acquisition of Q3 Contracting. We paid a little over $48 million in cash at closing and their earn-out provisions, which could add $10 million over the next 2 years. With the 4 2012 acquisitions, we again are faced with establishing a fair value at the time of each acquisition. We have made estimates for intangible assets and the earn-out, and we will be amortizing these estimates over the next few years. In 2012, we recognized $2 million of contingent amortization for earn-outs and $6.5 million for intangible amortization, totaling approximately $0.102 per share, if we used our normal tax rate. For 2013, we anticipate $9.4 million of total expenses or $0.112 per share. As predicted, our working capital improved during the fourth quarter. We had great collections, and we continue to do so. Of the $268 million in receivables at the end of the year, approximately $40 million represents retainage amounts. The remaining $228 million, we've collected more than 95% over the first 2 months of this calendar year. So we're very proud of our collection history. Our capital expenditures for the fourth quarter were $13.7 million. We anticipate higher CapEx going forward. If we look at last year, we had $29.1 million in depreciation, $6.5 million in amortization for a total of $35.6 million. Add to that the $9 million that we generated in proceeds from the sale of equipment, and we ended up with about $44.5 million of which -- against which we spent $37 million. We anticipate that we will be spending a lot closer to $45 million to $50 million this year. At December 31, our total debt outstanding was $155.4 million and our debt-to-equity ratio was 46.7. During the fourth quarter, we entered into a $50 million senior secured note, with a possibility of another $25 million. The rates on the note was 3.65% fixed for a 10-year period. We also signed a credit agreement for a 5-year $75 million credit facility. We also paid our $3.1 million cash dividends in the fourth quarter as we accelerated the dividend payments. Backlog at December 31 was $1.3 billion, a 17% sequential increase and a 16% increase over last year. Both the East and the West segments saw double-digit increases in backlog. We do not traditionally include in our backlog any jobs unless we have a signed contract with known revenues. So MSAs and cost reimbursable and time and material projects are not included. During the fourth quarter, approximately 12.8% of revenues were not derived from backlog. Looking forward, we anticipate that approximately 57% of our total backlog at year end will be recognized during 2013. We also recognize that backlog by itself is not as good an indicator for our company as it is for others. So we are in the process of trying to find metrics that will assist you in looking at where our revenues will be. So for this quarter -- or for this year, we want to announce that we believe we will generate between $350 million and $400 million this year of time and material MSA work based on our estimates at this point. Please recognize that those are estimates and that those are not firmed signed contracts. With that, I'd like to turn it over to the operator, so that we can get to your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Richard Wesolowski of Sidoti.
Richard Wesolowski - Sidoti & Company, LLC: Would you comment on how PG&E's move back to alliance work would affect your bargaining position, the margins for underground, if at all?
Brian Pratt: Yes. The -- they switch every couple years. I think it's to demonstrate prudence to the PUC because most of their costs are directly in their rate case and they get reimbursed for them long term. We've gone -- we've worked for PG&E for 60 years. I haven't, but the company has. So we've been through -- I don't know how many different iterations of their delivery system. But in general, we seem to hit kind of the same kind of margins either way. We did -- there were 5 alliance contractors that were granted the alliances by regions, and I think we got the heart of the deal, which is the San Francisco Bay Area. So as it certainly the heart of the integrity market. As you may not know, it's only probably about half of the revenues we generate from PG&E because they have other things that are not in the integrity piece set program, and that's copper service replacement, which is now going to [indiscernible] A and [indiscernible] B. And the we -- the part of their program is both integrity checking and mitigation but it's also upgrade. And so don't read too much into the alliance part of it although it certainly helps us maintain our base there to support the other work that we do for them. But only about half of our work last year was integrity work, the rest of it was either capital work or service replacement. But I don't look for it to impact our margins too greatly. Now what does happen is since that work is in the streets of San Francisco and it's not out in the deserts where you use your larger equipment, our margins are a little less in general, but they have been less for the last 4, 5 years. So that does explain some of the changes in margins from quarter-to-quarter because we don't use our equipment. We don't get our equipment utilizations, so our margins will somewhat be lower on that work as we run our equipment center as a profit center.
Richard Wesolowski - Sidoti & Company, LLC: I understand PG&E is on a different track as far as the work they have to complete relative to Sempra or the other California utilities, but I'm curious if you expect your sales to the non-PG&E group in ARB underground to be higher in '13 and '14 as well as you see for PG&E.
Brian Pratt: Well, you kind of got core businesses there. I think we'll certainly get our share of the services and we're going to get our share of the integrity work. And then everything kind of above that is project to project. So that's -- we have to bid and win that. I think with the amount of work going nationally, a lot of these contractors that received alliances, some of them are actually new to the gas business. It was kind of surprising that they were awarded alliances. Some of them won't be impacted by the overall market across the country but some of them, like Quanta, will be. And so I think as they're distracted in other markets where they might be able to achieve better profits because they don't have the -- they don't have the basic support system we do in California. I think our margins could increase. But it's -- who knows? I think in general, the California pipeline market is going to be a little more robust than it's been. And it's been a great market. So the Sempra is entering a different phase of their integrity process. Some of the other owners are entering phases. As the market heats up across the country for underground work, I think we should do better because we stay home and we take care of our clients and they recognize that. And it should allow us to be -- give us a little bit better pricing power.
Richard Wesolowski - Sidoti & Company, LLC: And lastly, shifting to East a second. I appreciate the idea that your 2012 annual East margin would take a hit from I-35 being in year 1. But for the quarter, it was below at least what I was expecting. I was just hoping you'd characterize the early execution on that group at TxDOT contracts.
Brian Pratt: Yes. I think we're-- as we've talked about on most calls is we're pretty conservative on how we reflect the contingency portion on our work in process and we're really in the big start-up mode of a lot of new work. All that I-35 stuff is in the start-up mode. Plus, we had a serious -- when we buy companies, we do a serious outlay. And if it's possible to expense it, we do so. Just -- I know this isn't in the East, but to give you an example, we GPS all our trucks. So we make sure that the guys aren't using them to run to the liquor store on Saturday morning or Friday night. And just Q3 alone, we spend a couple of hundred grand in January just putting GPS on their vehicles. So some of it was the start-up costs, some of it was Saxon, getting them integrated. But a lot of it is just the fact that these projects are in early stage in the East and we're going to be very conservative as to how we reflect where the margin is on them until we can calculate it, lead, knock down the contingency part of the profit.
Operator: Our next question comes from the line of Lee Jagoda of CJS Securities.
Lee Jagoda - CJS Securities, Inc.: Just a follow-up on the Belton question. I guess specifically, did you book a negative gross margin in Belton in the quarter?
Peter J. Moerbeek: No.
Lee Jagoda - CJS Securities, Inc.: It was just very low?
Peter J. Moerbeek: It's low but it's not negative.
Lee Jagoda - CJS Securities, Inc.: Okay. And then Brian, significant obviously means different things to different people. Is there any way you can put some numbers behind significant organic growth in 2013?
Brian Pratt: A gob? Let me be more precise. A whole lot? Well, remember, just in the fact that we didn't pick up Q3 until mid-November and Saxon until almost the same timing, just in and since we only got 3 quarters out of Sprint. We've got them at the end of March. So just if you add those in, we're counting them -- we've owned them for more than a week, it's organic. So we're counting them as organic and just if you do the full year on them, you're talking pretty -- I'll let you do that, but we're talking pretty substantial growth. Now Q3 has really been -- I'm really impressed with what Jay is doing and Jason and Mike, and they are really being aggressive in reaching out and getting some the work that some of these other guys have left behind to go chase greener pastures. And so when you look at -- and Sprint is the same thing. When -- last year, before we bought them, the year before we bought them, they did $70 million. They did $44 million in the fourth quarter, and really what it was, was taking some of our cost systems and some of our equipment credit and going out and buying some equipment, letting them achieve more growth through more capital projects, larger capital projects, particularly in the Eagle Ford and around Houston there for our traditional clients. And it also helps increase the gross margin because now we're owning that equipment and putting that money in our pocket instead of the equipment vendor. So I think if you just look at what we've picked up, I think the organic growth is very substantial. And then I see -- the only one that I see has any chance of shrinking organically, and I don't like to give guidance, but is possibly industrial in the West. But I got to tell you, if anybody can find work to do with good money in it, it's Tim Healy. He's very good at it. And he's got a great list of prospects there.
Lee Jagoda - CJS Securities, Inc.: Okay. One more question and I'll hop back in the queue. Just given the droughts in Texas and your recent success winning awards related to water, can you talk about the broader market opportunity in Texas that relates to water?
Brian Pratt: Well, the state of Texas is getting ready to spend about $50 billion on water resource. They need to because 2 things have happened, of course, as they've had a multiyear drought and then they've had a lot of growth. So they need to spend money on water resource just to keep up with the growth and the drought has obviously exacerbated that. We're working with a company that has been working in that market for a number of years. We've been assisting them in that market. And their tracking in excess of $2 billion that they think is opportunity for them. The first award for us is relatively small. It's a resource development, so we're going to drill some wells and haul the pipe -- haul the water for them into a water hub where they can distribute it. The second job we're working hard on we're finalizing pricing on right now is brackish water. So you have to put a desalter in or an RO facility in and treat the water and then ship it to market. But these guys are very aggressive. They're well connected financially. They have financing in place, and so we're really optimistic that this could generate a long term or a midterm kind of growth strategy for us in that area. But if you spend any time down there, the drought is very pervasive. It starts in the south part of Texas and wraps around the west side of the state all the way up to the Panhandle. So it's a -- there's a lot of need there. And we very much intend on being part of the solution.
Operator: Our next question comes from the line of Richard Paget of Imperial Capital.
Richard S. Paget - Imperial Capital, LLC, Research Division: Maybe just to help try and frame that organic growth expectation, if you look at your guidance for the MSA work, even at the low end, if you compare it to what you did in 2012, I mean, that's high-teen growth if you take the high end. I mean, it gets closer to -- in excess of 30%. If you look at 12 months backlog this year compared to last year, that's up close to 30%. I mean, is that the frame to look at it in? Or is that being a little overly aggressive?
Brian Pratt: I'm sorry, Richard, you lost me at the word guidance. The -- we -- look...
Richard S. Paget - Imperial Capital, LLC, Research Division: Well, I was asking Pete, anyway.
Brian Pratt: We picked up a lot of MSA work with Q3, a lot -- Q3C, sorry, they do a lot of MSA work. And it's a big guess. And that's why we've been reticent to even discuss giving you guys any kind of insight into it because it's -- I've signed MSAs and not done a dollar's worth of work under them. But you take Q3, whose -- a vast majority of their income is -- or revenue is from MSA work. And a lot of what Sprint's revenue is MSA work. I'm going to guess around 30% or 35%. Now this -- I'm going to veer off your question, as I normally do. But I'd like to kind of -- you guys have to understand something, this is why we're successful. Because we dig ourselves in with clients like a tick, and -- maybe not a tick but something a little bit more nice. But that's why we're so competitive on the capital work. We don't have any sales comp. We don't have to fly salesmen around the country to introduce ourselves to the energy transfers in the enterprises of the world because we're out there doing the work for them every day. We're changing valves out. We're lowering lines. We're doing all the normal day-to-day dirty stuff that most of our competitors don't want to dig in and do. They'd rather not have those administrative costs and make that commitment to the clients. But I got to tell you, it's an incredible sales tool. They're paying me to sell them because my trucks are going through their gate every day. And this is one reason we built the kind of base that we do. It gives you recurring revenues, albeit they're probably not as high in gross margins as some of the capital work can be. But now you're working for friends and people you work with every day. So if there is a large capital job or a medium capital job, you can go out there, you don't have to sell them on it because they know you're doing going work for them, they know you're taking care of them. And if there is an issue, if there's a change order or change in condition or something like that, and you're dealing with friends, you're dealing with guys that are kind of symbiotic in how they relate to each other. So this is a huge advantage for us. And that's one reason I like our model better than some of the others. But we're going to try possibly next quarter to be more mechanical in how we deliver you the backlog number. I hate to change the way we reflect our backlog and disconnect you guys. So we'll report both ways for a quarter or 2. We haven't decided. But we've looked at the other companies and how they do it. There are some that are really aggressive. One who will remain nameless, is they book 5 years of MSA possible revenue. We're not going to do that. We're going to do what's conservative. But since the amount of work we're doing under this kind of delivery system has increased proportionately, we feel that we should try and give you guys more insight to what that will realize for us. Sorry. I'm sure I didn't answer your question. I'm still not giving guidance.
Richard S. Paget - Imperial Capital, LLC, Research Division: Well, I could see, you pointed that out. All right, so you mentioned you guys got some pretty strong revenue in spite of typical seasonality with weather. Was that fourth quarter, I guess, historically less cold or snowy or less inclement? And then how is fourth quarter of 2012 trending with first quarter this year in terms of seasonality?
Brian Pratt: Well, your utilities, they have to get their spend done. I mean, they try -- I know Sempra and PG&E try to spend within 0.5% of what they predict at the beginning of the year. That's really cutting a fine line. But what happens is they go out and take care of new customers, if there are any, and -- in California, anyway. And then they do that the first half of the year, then they take care of replacement kind of in the middle of the year. And then they get real aggressive at the end of the year, making sure they hit their spend on the button, which we like because we, in general, have more capacity than our competitors. So we can kind of see better margins and more of our kind of work in the last quarter -- last half of the year. Then of course, the first part of the year, they reel back in and they start that process over again, and it's cold. I don't know if you've been to Little Canada but they call it that for a reason. And so guys like Q3, guys like Sempra, guys like PG&E really slow down quite a bit first quarter of the year. It's just endemic into the business itself. Your pipeline guys, they don't even bid work for the year until first half of second quarter. So you don't get a lot of work there. The nice thing about the highway work it kind of works straight through in terms of the way the work is budgeted. But there are just certain things you can't do when it's cold. You can't pave when it's raining every day. We drive our revenue based on our cost. So when it's raining every day, you can't generate cost. You can't put work in place, which drives our revenue. So our first quarter, as you guys know, and I said this and the stock took a whooping a while back, but first quarter is always slower for us than the others, and you got to look at us like you look at the rest of the guys in our space. We're not that much different. If you're working in our same geography, which is pretty much the Sun Belt and then up to the Midwest with Q3.
Richard S. Paget - Imperial Capital, LLC, Research Division: All right. So there was no abnormal weather patterns in the fourth quarter that helped you achieve the revenue growth you did get?
Brian Pratt: Well, remember, we picked up Q3 and we picked up Saxon. So you've got to kind of roll them out of the equation, if you're going -- if you're looking at purely year-to-year or quarter-to-quarter. At the same time though, Sprint, which we picked up in March, I mean, they had a huge fourth quarter, and I think they're going to continue to perform well. We are getting the normal first quarter, and it's going to -- you can't just take fourth quarter and say, "Geez, they had a great year, so we'll just take fourth quarter and add 10%, call it first quarter." It's not going to happen. We're going to have our normal down-dip in the first quarter. Little Canada, the work in Minneapolis, around the Minneapolis office is just shut down, period. PG&E has actually carried through a little bit better than I thought first quarter, so that's good. Sprint, traditionally in the past has always lost money first quarter. The good news is, is I think they're actually going to do okay first quarter because the amount of work that's out there that has to be done. And these clients recognize this , so they're trying to spread their work out a little bit better, plus they've also got a lot -- a few larger capital jobs. I think the Heavy Civil group will actually do pretty good first quarter because these jobs are starting to ramp up. But again, it depends on the rain. You can't pave in the rain -- you can't pave when it's raining and you can't pave a black paving when it's cold. So it's just -- it's a mix bag, but I think it -- first quarter is kind of rocking along pretty good. I'm not disappointed at all.
Operator: [Operator Instructions] The next question is from the line of Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question I have is in regards to the pipeline space. Brian, you reported on in your processes around Keystone. Could you first of all just comment on whether you think that will be -- what the outlook looks right now based on the market intelligence you have. And we've been waiting for a lot of these long-haul pipeline contracts to start showing up. Last year, you guys had said that around this time, you should hopefully start to see some activity tickup. So any update on whether they will be cool [ph] as well?
Brian Pratt: Well, I'd like to address Keystone for a minute because I keep getting -- and I think it's -- I think the project needs to be built. I think the state department hit it right on the head. That dirty oil, which I don't believe is dirty, is going to get produced one way or the other. So to try and calculate in the pollution from making the oil in Canada into the process is really silly because if we don't take it, the Chinese will. And the Canadians will sell it to them. The -- I had -- some of you guys are probably going to say, "Well, gosh, you didn't get a part of Keystone." Well, how would you like to have the contract on Keystone? Knowing you've got to commit 2/3 or 3/4 of your resources but not knowing when. And then you got to bid this other work to try and make a little money the next couple of years and you can't really bid it aggressively because you got Keystone laying there in the background, and you don't want to walk away from that contract or that client. So to be honest with you, I'm kind of glad we don't have it. We do have the opportunity to maybe do some of the work south of the Mason-Dixon and on some pump station work and this and that. But what it does do is it does absorb capacity in the industry. And the big guys that are part of it, Michael is on our private side and the other guys. That prevents them from getting in our hair in other work. If you look at where we are and what we've backlogged, we are backlogged to a run rate similar to the year we did the Lord Voldemort of construction projects. So I'm pleased with where Frank is. And we're just now at the cusp of the season for bidding. We're bidding more work than I really have ever seen come in the door. And I think based on what's projected, this isn't quite as large a capital projection this year as the peak a couple of years ago. But it's certainly large enough to take care of everybody in the industry. And the one change it has been, it's gone from the really big pipe to kind of the intermediate size pipe. You're not laying 42 inch and 48 inch. You're down laying 30 and 24 inch and multiple lines because you're dealing with more treated gas and things like that, liquids, which is a change in equipment. And that's why we reflected a lot larger CapEx this year than in traditional years because we had all the big stuff. We continue to have that. We're continuing to use it. But now we need the more intermediate stuff. And we went from about 20 or so, 5 72 size site [ph] booms, where we bought 35 of them in the last 18 months. So I'm that strong a believer on where the market is going that we're spending a lot of money to get there ahead of it. And I think owning that stuff gives you a lot of capacity versus the guys that have to rent it when it gets in short supply.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: That makes sense. Are you seeing -- when I read through some of the market data, it seems to suggest there's a lot of refurbishing of pipelines as well, maybe some conversions of now redundant gas pipeline through a flow-through [ph] crude. Is that an opportunity set for contractors as well like yourself?
Brian Pratt: Absolutely. If you really study the way a pipe is installed, gas lines are very different than oil lines. When you put gas in a system based on the fact that it doesn't weigh very much, you have a system that you can run at the same pressure through the entire route. When you put oil in it because of the weight of the oil in the low spots, you have to really have a much different system to use to get the capacity of that full size pipe. You have compressor stations versus pump stations, that's obviously -- that's a change, you're pumping liquids instead of the gas. It's a huge opportunity and particularly in light of the fact that some of these purchases of older systems haven't had the integrity work done to them. And these guys, what they're really buying is not so much -- in a lot of cases, not in all cases, what they're really buying is they're buying a right of way and a right to own a pipeline. So they don't have to go through what Keystone's gone through. They realize that in order to build a system like Keystone, it's a 3- or 4- or 5-year process. If they can go out and buy an existing pipeline, it doesn't matter what kind of shape it's in, they know they have the right to improve that. So the process is much, much more simpler and much quicker. So to me, it's kind of -- and a lot of it will just get jerked out and then replaced. Some of it, they'll try and scab together. But remember, most of these guys are federally regulated. They file tariffs and they file tariffs based on what their capital cost is. So in a lot of cases, they're not -- they really don't care that much unless it's competing with a different pipeline system. Their capital cost, it's a baked in profit for them. So it is a lot of opportunity, sorry to give you such a long answer.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: No, that -- actually, that's very helpful. And I guess, if you were to build a new pipeline for let's say $100 million versus one that's been refurbished, is it the same cost? Or is it -- does it end up being a lighter scope?
Brian Pratt: Well, in some cases, it's even more because you -- depending on what they're doing with the old system. If it's currently under operation, you got to spend a lot of money protecting it. It just depends on how extravagant they go in upgrading it. But in general, you want to see them build a new system instead of an old one. It's cleaner construction. But we make our living doing tough jobs. If anything differentiates us in the marketplace and this -- I'll send you -- we'll post some pictures on the website of the job we did across the hills here in California. I mean, we literally had to fly every joint of pipe, every yard of concrete into this area and pour it on the side of the saline. It went on and on and on for mile after mile. That's our hallmark. That's where we make money on tough jobs. And I think that's why I think we're being more successful than some up in the Marcellus because that's tough work. The Eagle Ford is kind of an nella [ph]. You run into some ranchers that have real special deer and things like that, that cost a lot of money, if you kill them. But the work is kind of a nella [ph]. You don't have the high groundwater, you don't have real hard rock. It's pretty open country. The work in the Marcellus is just double tough. And with the weather and there isn't really no developed workforce up there. It's really tough to get -- and as the work picks up in Houston, or in the Ship Channel and along the coast there, it's going to get even tougher because that class of worker is going to stay home. Why would they want to go to Ohio when they can get the same kind of pay working there in the Ship Channel. So -- but that is our hallmark. It's tough, and that's where we excel. And the tougher, the better off -- the better we like it.
Operator: Our next question is from the line of Dan Mannes of Avondale Partners.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: A quick follow-up maybe on some of the Tahira's questions. You're seeing a pretty robust bidding environment out there on the pipeline side. What I wanted to ask was your capacity. I mean, clearly you've committed a big chunk to ATEX, which you'll take at least to spread through most of the year. What do you have available to bid both on the union and the nonunion side, number one? And number two, how big can you scale up out of Sprint in terms of project sizing?
Brian Pratt: Well, some of it is dictated by the client. I don't think anybody is going to get Sprint a $200 million job. But we'll take 1 spread on Ohio for ATEX. We have another 1.5 spread up there at Rockford. So we could do 1 more sizable. It depends on how much work we do for Williams. We've been putting packages together for Williams. Last year, I think we did $80 million, $90 million for them, cats and dogs. It depends on what -- and they have a pretty aggressive plan again this year. So it depends on what -- and I'm a big believer, never trade an old friend for a new one. So we're going to stay home with Williams because they really provided us good work through kind of a swale in the market. So a lot depends on them but we could probably stand 1 more spread there. We've still got half a spread out in Wyoming. ARB has got a spread that is uncommitted that Rockford could use or they could use. And then Sprint's got 2 kind of middle diameter spreads. They're good up to about 30 inch. When they get above that, they get pretty equipment sparse. So -- but they can stand 2 spreads. They've got a lot of work down in the Eagle Ford right now, and we're just finishing up the 1 there in the Houston area. But they've got a lot of opportunity. But the difference is, is that spread for Rockford is $100 million over 6 months or 7 months and the spread for Sprint is probably $25 million over 3 or 4 months, 5 months. So a little bit cats and dogs.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Got it, that helps. And then real quick, and this may be a little off mark. But given what's going on with the sequester, are you seeing any of that flow through into your civil business? Or is that really just noise given that most of the money are -- is either coming from the state or already allocated?
Brian Pratt: Well, I went in and cut the janitors' pay right away. I just took the opportunity. I'm just kidding.
Peter J. Moerbeek: I can't [indiscernible].
Brian Pratt: Yes because he's too good a guy. Plus, I think he knows where I live. The -- we haven't seen anything remarkably change. I don't think we will. We do so little defense work. I mean, we're bidding some. They do fuel oil systems, we've been shortlisted on one up in Washington. I don't know whether that -- obviously, they're going to cut back on capital spend. But we haven't predicated very much of our business plan towards that. So I think quite honestly, it might even be a benefit because -- there's no federal money, obviously, available. We can send it to Egypt but we can't send it to Texas to fix the water shortage. But I think it will probably create more entrepreneurial solutions and opportunities in kind of the municipal and state markets that traditionally rely a little bit on federal money. So I really -- to me, it's a Washington problem so far.
Operator: Our next question is from the line of Richard Wesolowski, Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: Regarding the mainline bidding in 2013, would you say there was a greater risk in committing the bulk of your resources before the pricing gets good or rather in the prospect of not being able to procure the field hands if you wait around for a better bargaining position?
Brian Pratt: You fight that battle every year, I fought it for 40 years. Do you wait and get a good price on the last one and lose all the opportunity in between? And do you bid the first one and have it get it delayed until the last one's already bid, then you don't even get to do the first one? Do you load up and take the chance to get some hands before the other guys do, some craftspeople? We're good at it. We've only done it for -- I've only done it for 38 years. So we've liked ATEX. They're a good customer. They don't -- they're not quick pay but they certainly will pay you. They are not sketchy at all. We are there -- we're in Ohio and Pennsylvania. It's our kind of work. Our guys are there. We didn't have a huge move on cost. We wanted to get most of the remnants out of Wyoming so we -- that was a great way to do it because we don't see any big jobs right there, although Embridge is out and bidding and you've got work up in that area. But we liked it because it was first. We liked it because we could get the hands out. We liked it because it gave us a little bit of revenue in the first quarter. We got to go up there and get rid of the bat trees, the trees where the bats like to nest before they come back, wherever bats go. Do you know where they go?
Richard Wesolowski - Sidoti & Company, LLC: I don't know. I'm a lonely analyst.
Brian Pratt: Okay, we'll get Mannes -- Dan Mannes to research that. He likes that kind of stuff. But -- so we liked it for a lot of reasons. But yes, it's always a risk you buy. But quite honestly, in that businesses, I'd much rather pick clients than pick jobs. You've got good clients and you've got better clients, then you got clients that will remain nameless. So I think we're picking the right kind of clients that are going to treat us fairly, that have well-engineered projects. I mean, that's what hurts you more than anything now, as you go out there. And engineering is stressed. I know the Gulf Interstates and the guys like that are as stressed as we are in trying to find people to do the work. So that reflects itself in either poor engineering or good engineered projects. And if you get a poorly engineered project even with a good client, you're going to struggle. And so I think we're pretty good at matching the 2 up and working for the right kind of guys on the right jobs. But yes, you always fight the risk that maybe you're too early, too cheap or too late, and you don't get anything.
Richard Wesolowski - Sidoti & Company, LLC: Shifting to the gathering line, is there an opportunity in 2013 to kind of mimic the relationship you have with Williams in some of the shale play?
Brian Pratt: Well, a lot of what -- well, I won't say that for a lot of it but half of what Sprint is doing on their capital work is gathering, and we're down there working on some other. We did a job for Copano right before Kinder bought them or announced they were buying them. And we're doing some more work for them. They're a good client, as is Kinder. So we'll do a lot of that work. We'll do more and more of it. Traditionally, there is a real labor shortage up in the Northeast. So a lot of that is done. The unions have a better labor pool up there. Although, I see Wildrose [ph] up there. I see some of the smaller private guys -- privately owned guys up there. I think they struggle, and they're even going to struggle even worse because of the -- as the work heats up in the Southeast, those guys are going to go home. If you drove up there and went down there right away and looked at where their people came from, I would venture a guess that 95% of them came from Texas or Oklahoma or Louisiana. They're not going to stay and work up there when they can be home getting 60 hours or 80 hours a week in one of the plants. So I see more and more gathering line work for us. It's going to be cats and dogs. So I -- the Bakken is hard to get into. It's still sketchy up there until they develop a better shipping system for their oil. It is so deeply discounted that if they don't get one of these pipelines built soon, I think that work is going to struggle because there's so much other liquids being developed in the Eagle Ford and other places. I think right now, they're taking a $17 discount to the market just because they don't have a good way to ship it out of there. So we're focused in the right areas. We're in -- I think we need to get a better presence maybe in what I call the overthrust area, which is Colorado, Wyoming, places like that for flow line work. The smaller capital jobs, you're pretty much going to have to be attacked in an open-shop model though. So we're going to have to develop that presence, and we can do that through Sprint, or some other method.
Richard Wesolowski - Sidoti & Company, LLC: Very last one, did the 2 gas site projects completed during the quarter move the needle for the West profitably?
Brian Pratt: No, I don't think so. You mean last quarter?
Richard Wesolowski - Sidoti & Company, LLC: Right.
Brian Pratt: Or this quarter -- I'm sorry, the Q1?
Richard Wesolowski - Sidoti & Company, LLC: The December quarter.
Brian Pratt: No, it didn't move at all. We're still commercially dealing with one of the clients that might move it slightly. The other one we settled up with. We are excited about the prospects. El Segundo is going really well. NRG is a great client. They've struggled because they had kind of a screwy delivery system on the engineering side. But -- and this is the first. Siemens makes 2 of these quick start or Flex start plants, they call them. One of them is a 30-minute start and the other one is a 10-minute start. And the one we built for -- in Northern California was a 30-minute start. It's the first one built in the U.S. The second one is this 10-minute start at El Segundo. And because of the water, the once-through [indiscernible] and everything else, it's really been a -- kind of a one-off or unique project. Nobody has built this yet. And they have been very, very good to work with. It was -- there's some tough situations. And the site that the thing is built, right next to LAX on the water, I mean, literally the guys can go out and surf at noon, is the tightest site, I think, I've ever seen a plant like this built on. So -- but I'm excited about the job finishing up. And hopefully, we'll see better results there than we've seen on the prior ones.
Operator: Our final question is coming from the line of Tahira Afzal of KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Brian, I just keep -- try to keep it brief. James industrial, could you talk about the opportunity shaping up for James from ammonia, fertilizer, petrochem? You clearly started to see some of that flow through. But could this be as big an opportunity for you guys as pipeline or -- in terms of growth?
Brian Pratt: Yes, I really do think -- when we looked at James 4 years ago, when we started down the path, we didn't -- we really didn't have a big Heavy Civil presence. Didn't know we wanted one. And of course, after we got to know Danny and Rodney and Pat Pluenneke, we liked it a lot. They're really delivering. They're consistent. But the industrial was kind of one of the things, that and the I and Maintenance group -- Infrastructure and Maintenance group is -- really what we looked at is the real attraction. Of course, about the time we bought them, that business started slowing down. But they've got a great opportunity. We're focused there on our M&A activity. We're not, not looking at other places. I mean, we're not -- we're looking anywhere. We're not pressing it real hard. As you know, it's just me and another guy. We don't have a big staff to do that. But we think the opportunity is huge. Now the issue is going to be back to picking the right client and picking the right project. It's -- they're predicting anywhere between 125,000 and 150,000 craftsperson shortage just in the Houston area. And so you go out and you bid a job lump-sum or you bid for a client or you bid it in an area where there's not a big presence of people, you got real problems. And everybody thinks that Gulf is one big market, it really isn't. You get some areas that are very parochial. Some areas don't have any craftspeople to live in that area. And trust me, if they're working for you and they live 30 miles away and there's a job that comes up 2 miles from their house, they're gone that Friday when they get their check. So I think it's a great opportunity. I think the problem you fight is everybody knows about it. A lot of people are moving that way. That's driving up multiples of acquisition candidates. And there's going to be a labor shortage. There's going to be a management shortage in order to alleviate the problems that occur when you run out of good, skilled labor as you hire really competent middle-management. And that means people are going to try and higher your middle management people away. And so you've got to make sure you have those in place. And then you don't want to be out there working on a 6% job when there's a 12% job available to your 15% job. So you have to be cautious in how you pick your poison here, and I think we're very good at it. But you don't want to run out and tip your guys over by trying to take on too much work. So it's -- you really have to hit a happy medium. And I think we're set to do that. We've got Cardinal Mechanical down in that area that has good skills that can do pipe and things like that. We've got Saxon. They're a national contractor. They can go anywhere. They can bring some very highly skilled people into certain markets. You've got James industrial, we're working on a couple of smaller little acquisitions down there. We're fairly far along on one. But I don't see us running out and buying a $500 million guy this next year.
Operator: Thank you. Mr. Pratt, I will now turn the floor back over to you for closing comments.
Brian Pratt: Well, I'd like to thank everybody once again for their interest and your investment, if you're invested. And with that, we'll end the presentation. Thank you.